Operator: Good day welcome everyone to Avid Technology Third Quarter Earnings Release. Today’s call is being recorded and now for opening remarks and introductions I would like to turn the call over to the Director of Investor Relations, Mr. Tom Fitzsimmons, please go ahead sir.
Tom Fitzsimmons: Good afternoon everyone. I am Tom Fitzsimmons, Director Investor Relations for Avid Technology. I would like to welcome you to today’s call. With me today are Gary Greenfield, Avid’s Chairman and CEO; Ken Sexton, Chief Financial Officer and Chief Administrative Officer; and Joel Legon our Vice President of Finance who will join us for Q&A. Before we begin, please note that this call includes forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, including statements about average performance. There are number of factors that could cause actual events or results to different materials from those indicated by such statements; such as competitive characters including Avid’s ability to entertain customer’s needs, pricing pressures, our ability to execute our strategic plans, and adverse changes in the general economic or market conditions. Other important events and factors appear Avid’s filings with the Unites States Securities and Exchange Commission. In addition, our forward-looking statements represent our estimates only as of today October 23, 2008 and should not be relied on as representing our views on any subsequent day. AVID undertakes no obligation to review or update these forward- looking statements. During this call we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. The most directly comparable financial measures calculated in accordance with GAAP and a reconciliation of GAAP measures to those non-GAAP measures are contained in the press release announcing this quarter’s results and are available in the investor relation section of our website at www.avid.com. And now I would like to turn the call over to Gary.
Gary Greenfield: Thank you Tom and welcome everyone to our third quarter 2008 results conference call. Although there are few highlights of our third quarter, Ken will provide the financial details and then I will provide an update in our progress and average transformation. Ken will then wrap up with an update to our 2008 guidance and Ken, Joel and I will take your questions. As we discussed on previous calls, Avid is in the midst of significant transformation. While Q3 presented challenges that can recover, we are on the path to return Avid to sustained financial health. For the third quarter we reported revenue of $217.1 million and a loss of $0.12 cents per share on a non-GAAP EPS basis. In the month since our last earnings call the leadership team in Avid has been working with the employees to accelerate the effort it needed to reach our goal of operating as a single company. As a part of that work we have identified a number of changes that will help us to become more physically fit. This included implantation of more efficient and effective processes and the elimination of duplicative work efforts. At the same time we also took a hard look across the business, to find the best way to integrate our various groups into a more customer centric organization. This work resulted in the identification of new roles, the redeployment of the existing employees and the elimination of some positions. In addition, we have entered into an agreement to divest our SoftImage 3D, animation product line which is part of our professional video segment. The staff reductions plus the pending transaction will affect about 1/5 of our employees and impact nearly all Avid locations and areas of the organization, including costumer operations, customer success, our video and audio business units and our administrative operations. These actions are an important step in our transformation as we reset the cost base and unify our business into one Avid. Regarding Avid’s accomplishments during the quarter, we made significant progress against the goals we outlined; our last call is a part of our corporate strategy. We introduced a number of new products many of which have received industry awards as have our customers who continue to earn prestigious industry recognition at award ceremonies like the Emmy’s this past September. In the third quarter we began shipping DS version 10 worldwide. This is a highly anticipated release for our customers, the new system runs on a high performance platform designed to have costumers save time and money with a single application to create and finish high quality post production and broadcast content. Feed back on the latest version of the Avid DS workflow from costumers has been positive. At the recent AES show we have previewed Digidesign Pro Tools 8, the next evolution of our widely used music creation and audio production software which includes the video satellite feature, an option that brings Avid high res video playback into the Pro tools audio work flow. This release is important for 2 reasons. First is the development of valuable input for our costumers. Second, it demonstrates our commitment to provide better interoperability of our own work flows for our costumers. We also signed the Software Developers Kit License Agreement with Red, an emerging camera manufacturer as a part of our continued efforts to foster an open ecosystem of work flows and interoperability with third party products. Also in the third quarter we saw a very good adoption of the editing solutions we introduced this past spring, Media Composer DX and NewsCutter DX and Symphony Nitris DX. We were proud to announce last month that CBS news used several of these systems to help produce HT coverage of the Democratic and Republican National Conventions in the CBS evening news.
 : More important than receipt of these awards by Avid, are the awards bestowed on our costumers. This past summer the top 28 highest grossing movies were created using at least one Avid system; and 31 Emmy Award winning television programs in the outstanding picture, editing outstanding sound editing, mixing, and outstanding program categories similarly relied on Avid products. These awards and accomplishments are great examples of our continued technological innovation and commitment to our business, to our costumers, and business partners. Ken will now discuss our Q3 financial results in more detail.
Kenneth Sexton: Thank you Gary. Good afternoon everyone. As Gary mentioned earlier revenue from the third quarter was $217.1 million down sequentially in year-on-year. The GAAP net loss was $66.4 million or $1.80 per share and 37 million average shares outstanding. Operating expenses for the third quarter included a non cash charge of $51 million for the impairment of the good will and other intangible assets associated with the acquisition of Pinnacle Systems in 2005. As part of our ongoing strategic review of the business we concluded that the fair value of the consumer business segment had declined below the book value resulting in this impairment charge. As in prior quarters, our earnings’ release provides a table of certain items that are excluded from our non-GAAP results. These items total $62 million and include impairment charges, amortization of intangibles, stock based compensation, restructuring cost and related taxes. Adding back, these charges to our GAAP net loss results in a non GAAP net loss of $4.4 million for the third quarter and a loss of $0.12 per share on a non GAAP basis. Our GAAP gross margins were 47.3% including $1.2 million of amortization of intangibles and $321,000 of stock based compensation, without these charges gross margins would have been 48.1%. Our non GAAP gross margins were down year-on-year and sequentially. Gary earlier mentioned we face some challenges in this quarter in particular this year’s third quarter’s gross margin was negatively affected by a $2.3 million charge for inventory obsolescence related to our consumer hardware product lines, a $2.5 million increase in revenue reserves related to a planned increase in our Pro Tools upgrade pricing and a $1.2 million charge related to the resolution of a legal matter. Collectively these three items negatively impacted gross margins by almost $6 million or 2.1 percentage points. The planned increase in upgrading upgrade pricing should benefit the future quarters after the next release of Pro Tools.
 : Our non GAAP operating loss which excludes impairment, amortizations, stock based comp and restructuring that includes transformational cost was $2.8 million for the quarter. As previously noted, after taxes and interests, our non-GAAP net loss was $4.4 million. The agreement to sell SoftImage 3D product line to Autodesk was signed today and we expect to close on the sale before on the end of 2008. Sale proceeds for this agreement are $35 million subject to certain closing adjustments. As Gary mentioned earlier we are enacting a reduction in force across the Company during the fourth quarter which will eliminate about 410 positions. In addition, about 90 additional positions will be directly impacted by the divestment of SoftImage 3D product line. The majority of this restructuring should be completed by the end of 2008. We would now like to focus on the operating performance for our 3 business segments. Please note that the following items are excluded from the business unit results. Interest income of $507,000, $21 million of corporate infrastructure cost and operating expenses, $51.3 million related to impairment charges, $4.6 million of non cash amortization of intangibles, $4.4 million of non cash stock based comp, and $2.1 of restructuring charges primarily related to severance cost and the related income taxes for the above items. While we begin steps near mid year to organize around two businesses, audio and video, for the remainder of the year we will continue to report our businesses in our three traditional segments, professional video, consumer video and audio. Starting with professional video, revenue for the third quarter was $117. 2 million up one percent sequentially and down one percent year-on-year. Our SoftImage product line contributed approximately $4 million to the revenue in this segment. We continue to be pleased with the market acceptance of our latest editor release and this segment had second quarter of sequential improvement in gross margins. Professional video contribution margin was $15 million or approximately 13% of revenue which was approximately $4 million higher than last year. Now, turning to consumer video. Revenue for the quarter was $27.6 million down 13% sequentially and about 10% year-on-year. The year-on-year change was related to lower hardware sales while the sequential decrease was primarily in our software editing product line. Consumer video lost approximately $5 million in the quarter, included in this loss was over $3 million of cost related inventory provisions and a legal settlement which I mentioned earlier. In audio, revenue was $72 million in the third quarter which is down sequentially in year-on-year. We experienced some weakness in our higher priced audio offerings which we believe is attributable to the uncertain economical climate. Audio’s contribution margin for the third quarter was $8 million or 11% of revenue. Now, turning to the balance sheet. We ended the quarter with cash of $122 million down $16 million since June 30, 2008 and $102 million since the end of last year. The year-to-date increase includes approximately $93 million used to repurchase shares in the first quarter of 2008. Inventory turns were $3.7 million and days-sales-outstanding and receivable were 46 days. Inventory ratios improved over last year and last quarter while DSOs were flat sequentially but did improve year-on-year. Our deferred revenue was flat sequentially and down modestly year-on-year. I would now like to hand things back over to Gary who will discuss the status of our transformation. Gary?
Gary Greenfield: Okay. Thank you, Ken. I would like to expand a bit on the rationale behind our announcements today. During our earnings call in July, I spoke about our 3 phase transformation. Get healthy; build momentum and unlock- new sources of growth. As for a yet healthy phase we discussed the need to streamline our product portfolio, invest for where we have critical mass, significant share or where we get leverage. As we transform Avid we are focusing on serving costumers on our core video and audio segments. We have determined that SoftImage 3D animation product line is not a strategic fit for our business. This SoftImage 3D product line has performed well in the video games market; however this market is not a focus for Avid going forward. As we concentrate on market segments that is in line with our core product and service capabilities. We will continue to evaluate our product offerings with the major product rationalizations to be complete by the end of 2008. Now, turning to our restructuring, we took a hard look across the entire business define ways to integrate all of our various groups into a more customer centric organization. While I would not go into specific details about each function, I would like to make a couple of key points. Kirk Arnold, the head of our Customer Operations Group announced the next level of integration for sales, marketing and personal services. Kirk specifically put together her team with costumers in mind and has realigned her group in order to present a more unified Avid presence in the market. As part of that effort we have also established a new costumer market segment strategy specifically designed to help us bring a more unified audio and video approach to searching costumer groups which will allow us to capitalize on new opportunities across a broad spectrum of customers. In Q3 we took important steps forward in combining our professional and consumer video businesses. This consolidation effort will allow us to better leverage our development efforts in the video editing space and reduce redundant efforts. Our audio business has just about completed the consolidation of various processes and systems across audio. These important steps will allow us to better act as one Company with a focus on our customers. All in all we are making good progress against our strategy. We are delivering all our commitment to our costumers and business partners. We still have a lot of work to do. But we knew coming into this year that our transformation would not happen overnight. I would like to turn the call back to Ken.
Kenneth Sexton : Thank you, Gary. At the end of the last quarter we provided revenue and EPS guidance for 2008. As I am sure you can appreciate, there are a number of moving pieces involved in transforming the Company and attempting to increase longer term shareholder value including the following: First is the impact of the pending divestiture. Since this transaction will be accounted for as a discontinued product line, the associated revenue and earnings will be included in our results until the closing date. Although I expect this transaction to be completed in 2008, I cannot predict the exact closing date. Second is the impact of transformational activity in our continuing products. We are making significant changes in the organization which may have some impact on our Q4 business, please note that some of the costs related to the Q4 transformational activities could be charged to operations or restructuring depending on their nature. Because of these outgoing changes in our business as well as any other potential changes in the future, we do not believe that it is appropriate to provide guidance for the remainder of 2008. In addition we remain somewhat cautious regarding the overall economic environment. Although we will not be providing guidance at this time, we can provide you with estimates of major items which will be impacting our results from the coming quarter. The restructuring charges for the reduction in force of about $21 to $24 million will mostly be charged to fourth quarter with the remainder impacting the first quarter or first half of 2009. The gain realized from the sale of SoftImage is estimated to be in the range of $30 to $35 million dollars and will be recognized in the fourth quarter assuming the transaction closes in 2008. We remained committed to returning the new leaner Avid to improved, sustained profitability. We continue to believe we can reach 10% non GAAP operating margins in 2010, and make meaningful progress in 2009. We also have plans to discuss our new operating model in greater detail at our Investor Day being held in Boston on Monday October 27. This event will also be available via webcast on our public website. This concludes our remarks. Now, we would be happy to take you r questions.
Operator: Thank you very much, Sir. The question and answer session will be conducted electronically. (Operator instructions) You first question is from Steven Frankel with Canaccord Adams
Steven Frankel - Canaccord Adams: Gary, I want to talk about the consumer business for a minute. You took inventory charges there; can you tell us what consumer business is going to look like going forward? What is the right profile? Is it a software focused business now? Are we out of the hardware business?
Gary Greenfield:
 :
Steven Frankel - Canaccord Adams: If I could ask a couple of follow-ups? What is the channel inventory situation like a consumer?
Gary Greenfield: The channel inventory in consumer would be in the range of about $15 to $20 million in total.
Steven Frankel - Canaccord Adams: How does that compare to, for example, about a year ago?
Gary Greenfield: The change… surely there has not been a significant change in the inventory in the channels over that period.
Kenneth Sexton : If we could top all our reserves, then we have not changed much.
Gary Greenfield: So it was about the same as it was last year and in fact I ask that question prior to joining. It was right in that same range last year.
Steven Frankel - Canaccord Adams: And what are your broadcast customers telling you about the current environment, are you seeing projects delayed or pushed out?
Gary Greenfield: Well you know, broadcast is a pretty broad category and we actually just had a customer advisory board and that is the first customer advisory board that suddenly been down the memories of people here last week up in New York, Steve, and that was obviously a key question on our minds is, it is how you are seeing that. For the national networks, I would say that they are really project driven and we will be showing you some statistics on this. They are very project driven so when you say let us go do a studio you can not do half of a studio and other events drive to have cycles etc and drive that type of thing. Where we are seeing an impact is at the local station level, the letter stations. The letter stations, by the way, are saying “We do not know, we are watching”. I mean as you all know traditional advertising, over-the-air-advertising is down particularly in the auto industry. When it is down in the auto industry, you got to think local stations, if you think what you see on your local television station, it is all local car dealers and/or other local retail that you see and in this is year is probably where there has not been much local political advertising. Much of that money has gone onto the web, so I would say that broadcasting is a whole dimensional level and I just returned from Europe last night, we asked the question over in Europe as well. Though we remain heavily positive we are being very cautious in the local station market.
Steven Frankel - Canaccord Adams: Ok. Thank you.
Operator: You next question is from Paul Coster with JP Morgan
Paul Coster – JP Morgan: Thank you, can I just make sure I will say a few things here. The restructuring charge of $21 to $24 million, you are expecting to take all of that in the fourth quarter and there will be more in the first half of 2009 or some of that $21 to $24 million may slip into the first half of 2009.
]:
Gary Greenfield: Some of that will definitely slip into the first half. That was supposed to be an all up charge related primarily to the personal adjustments we talked about.
Paul Coster – JP Morgan: What would be the revenues associated with SoftImage?
Gary Greenfield: It was $4 million for the quarter.
Paul Coster – JP Morgan: And am I correct in thinking that the SoftImage team is basically located up in Montreal location, and you will be closing that location and its entirety?
Gary Greenfield: You are correct in the first sense that Soft Image3D animation team is located up in Montreal. Also, that is where the vast majority of our DS team, the DS team that I just talked about it. You know we are very committed behind what’s called the online in the editing business and that team will continue up in Montreal.
Paul Coster – JP Morgan: Ok got it. And then looking at the segment contribution, you have this corporate and other expense line which says you went up sequentially. What is it and is that also going to be attended to because it is great seeing the operating margin segments improving that, that is like a really heavy load, isn’t that? What is happening with that?
Gary Greenfield: Well as we mentioned, we’ve been taking reductions really across the whole company, by the way that is where the majority of the transformational type cost would be incurred, but that is really for the most part the GNA function, supports function across the Company. But obviously with some of the actions that I have just mentioned, those are areas we really need to get, not only the operating margin on a direct basis but we also need to get the overall support cost down.
Paul Coster – JP Morgan: The cash has to be a consideration for investors. You know $21 million approximate cash is going to go out to severance and the like, the $21 million to $24 million is it all cash charges or is it going to be non-cash as well?
Gary Greenfield: That is a cash charge; it is mainly cash charge for the most part, yes. Of course remember we will be bringing in cash in the SoftImage transaction in the sales proceeds, although we again that is subject to certain adjustments, we will not receive it all on day one but the vast majority we should receive at closing.
Paul Coster – JP Morgan: So for those of us who are sort of a little bit confused to that; the Company went through a strategic review, resolved strategy, you even came out with some guidelines last quarter and now it feels like you have gone through another review and the strategy has gone through a second determination. It basically was not fixed last quarter or was it understood to be a two-phase process or am I just completely off base here?
Gary Greenfield: Well I think this is exactly what we spelled out in the July call, we said that we had a three-phase process; get healthy, built momentum and unlock new sources of growth but, we also said specifically that based on that strategy we were going to take a look at our product line. That process continues as Ken commented it will be completed by the end of the year. So this is not a new strategy, it is in fact the implementation of the strategy that we spelled out.
Paul Coster – JP Morgan: Who decided that the board will presume they decided to do the share buy back ahead all of this restructuring? What is the rationale for that?
Gary Greenfield: Well first of all we spoke of that beforehand that the share repurchase was approved actually prior to my joining the Company. But you know it was obviously because of a belief in the future, belief in the future of the Company and then equity to market price and the excess cash we had on the balance sheet.
Paul Coster – JP Morgan: Well the board made a bad mistake obviously. Thank you, appreciate it.
Operator: Your next question comes from Andrew Abrams of Avian Securities.
Andrew Abrams - Avian Securities: Can you go through the Pinnacle impairment? If you look at Pinnacle as a stand alone, meaning what it was when you bought it? What in Pinnacle is still left after the impairment? Can you walk through what that still looks like?
Gary Greenfield: Well first off the comment that the impairment relates to intangibles, so nothing is gone as a result of it. And what intangibles would be as you have goodwill, you have trademarks and customer list and you basically have to, through various assumptions make a valuation estimate of what you believe it is worth. And then you adjust your intangibles accordingly so it is not a specific asset necessarily but you can relate each one of those 3D’s you are looking at. You are looking the business in total but you are also looking at some sub-components of it.
Kenneth Sexton : In simplest terms, the idea is. Why do you feel that you could on an open walk, can get to that distance? That is what you are trying to approximate using these calculations.
Gary Greenfield: Yes that is the theory and as of we sit here today, we still have a little bit more than $30 million of intangibles related to that acquisition from 2005 sitting on the books.
Andrew Abrams - Avian Securities: Okay, and without you tipping your hand. Does this give you room to piece things out of Pinnacle that still exist that needed to be written down before they could be disposed off?
Gary Greenfield: Those things are completely unrelated.
Andrew Abrams - Avian Securities: Okay. Well then, thank you.
Operator: Your next question comes from Mike Olson of Piper Jaffray
Mike Olson - Piper Jaffray: Alright thank you. A couple of good questions on the head count. Does the 410 headcount reduction plus another 90 from SoftImage to 500 totals, is that right? And I guess that would take us down to 2000 when it is all said and done?
Gary Greenfield: Not a thousand, we are 2711 today, I mean at the end of the quarter and we said that some of this would happen in the beginning of next year too.
Mike Olson - Piper Jaffray: Okay, when it is all said and done. What do you think the headcount will shake out?
Gary Greenfield: That man is out of 2200 range and in addition which was covered in outside a reduction by the 90 contractors.
Mike Olson - Piper Jaffray: And then outside of the SoftImage is there any detail as far as where the headcount reduction is coming from?
Gary Greenfield: They are coming from across the board; we took a hard look at every part of the business and as we said we would be talking some details about what the model of the entire business model will play for the Company on Monday. But literally every part of the businesses has been impacted, I would say as I commented, Kirk in particular took a very strong look at the customer operations as we went from having seven sales organizations to one shared sales organization, you can imagine you do not need six or seven sales operations or organizations, you do not need seven heads of geography, you do not need seven lots of things that were out there. And so the consolidation has been occurring here in the course of the year and this certainly accelerated that process. That being said as GNA, the development division, the combined video, the consumer video into a single line. Offered substance efficiencies as well, so, not a single part of the organization that has not contributed to the increased efficiency.
Mike Olson - Piper Jaffray: And just one last one, you mentioned that 3D animation specially the specific gaming is a fairly strong market right now and it sounds like the revenue run rate was rather small for SoftImage but, can you just give us the flavor for the growth rate was for that revenue stream?
Gary Greenfield: You know it was pretty smalls and singles, that I would have to go and look on actual quarter on quarter. It has grown but modest, single digits, flat to single digits. Because it was part of the problem of, I think, SoftImage, of the summer release that we released July just got phenomenal reviews and it is a great organization that is just lost within the Avid family. You know I think it is going to be a part of a great Company.
Mike Olson - Piper Jaffray: Ok, thanks a lot!
Operator: Your next question comes from question from James Ricchiuti of Needham & Company
James Ricchiuti - Needham & Company: Thank you, good afternoon. Sounds like you’ve got some major restructuring already under way in professional video and consumer with the divesting some product lines in areas of the business. What about audio? Is there something that we can expect some changes there as well? You have talked about possibly eliminating some hardware.
Gary Greenfield: Well you know in the audio division, Tex Schenkkan, he runs the division; he has already been doing some changes. Example during the quarter he consolidated Digidesign, he had its own speaker, its own speaker lined up under the Digidesign label. And then M-audio had its own speaker line, so one of the things he did was to consolidate any new speakers into the M-audio, which means the consolidation not only of the new to market, it means the consolidation of the engineering talent, family speakers etc.. In the case of audio as we said we are taking a look at a lot of product lines throughout the Company, but specifically in the case of audio there has been an effort underway to consolidate M-audio and Digi in particular and to be taking a look at reducing the number of excuse that were out there that is an effort. That is sort of on going over the course of the last year that is out there, so I think we will continue to focus on that. I would feel that it is more streaming rather than anything radical.
James Ricchiuti of Needham & Company: Ok, just getting back to the question of the broader economy and the impact that potentially you are seeing in that business. Your question was supposed to be about broadcast, I wonder if we could just talk a little bit about how your customers imposed on M as well as audio are reacting to the change to the economic environment. Just trying to get a sense to how much caution has been expressed by your customers since you have talked to us last at the end of Q2?
Gary Greenfield: The answer to the question is that, you know everyone is a little apprehensive, I would say that our customers are just like my neighbors, I mean we are all just a little cautious about what might happen if I take it over the little segments, to give you a flavor. You all asked about broadcasting, we answered that one. In traditional post plan. It was just something on money; I just read on the web this afternoon on money, it said basically the sense in Hollywood is that people are going to need to do movies. Continue to do episodic, more places to save money. That is historical to about from talents which is one thing. But you know, most of our changes that occur in post, occur, the [36:51] films is about 2000 films produced a year. The films that are coming out now, we are really green lighted a couple years ago and the films that are going to come out green in a couple years are going to be green lighted now and it seems to be an ample money for those in Hollywood and that seems to be going on fine, its not to say “keeping a strong eye out, a strong watch out there”. In the case of episodic TV again, 22 episodes this season are going to be out there. They are going to produce these 22 episodes this season; they will look for increase in efficiencies which we actually think might benefit us because products like Media Composer RGX series as new samples substantially reduces the time to edit the film because of its HT capability that is going to answer support, I could go on and on as we are going through that. So potentially create some opportunities and increased efficiencies. But again episodic is basically fixed and again if we were to see something, we probably want see it until the first half of next year, because that is when the studios decide to do things as during the off time. As you may recall we did not see it until last year because of the strike and we just do not have the visibility but we are talking to our customers about it. In the case of the audio business and in the case of the smaller post with commercial business, by commercial I mean doing commercials. That one I would say there is some tension out there, these are small businesses, they are dependent when they acquire our equipment on small business loans from their local bank, credit is tight and we are seeing customers speak to that point. Some are interested to work on musical instrument lines, in my line which are really in essence consumers or low end professionals. We are seeing some concerned express there and one of the reasons that we are cautious about the economic outlook. So there are pluses and minuses we can not point to anything specifically right now. But I would say that there is a certain expression of concern in the market places out there.
James Ricchiuti of Needham & Company: Ok, can I also just get some break out as to how the business broke out during the quarter internationally and domestic?
Gary Greenfield: We were about 53% international and 47% in domestic.
James Ricchiuti of Needham & Company: Ok, so is there anything you can say about the dollar and the currency in the quarter?
Gary Greenfield: We were I would say sequentially it was a little bit over $2 million the effects impact on revenue went down about $2 million negative impact.
James Ricchiuti of Needham & Company: Ok, sequential, ok that is it, thank you.
Operator: Your next question comes from Alan Davis with D.A. Davidson & Co.
Allen Davis - D.A. Davidson & Co.: I think I have got a couple of questions, first I have a question on the kind of business activity and linearity, and you answered that in the last question. Just want to make sure I have this right, sounds like in post, with your larger customers in the big change in activity but, in audio and your smaller post to customers, you have see a bit of a down take; would that be a fair characterization?
Gary Greenfield: Yes I would say that is fair. It is still early on but, I mean as everyone knows that end of the quarter was just that a lot of this was happening in the market place and people were being particularly cautious, particularly small businesses.
Allen Davis - D.A. Davidson & Co.: And on the consumer’s side, how were the last couple of months? How long do you expect to be there?
Gary Greenfield: I would say the same thing, I would say it has been pretty cautious and we did typically I think it was. You know I have really seen this quarter was due to the seasonality. Studio 12 has been well received since we released it in June, in fact we just put up 12 top one releases last week and again it seems to be received pretty well. Whether this will be in the Christmas stocking or not, it is hard to say at this stage again.
Allen Davis - D.A. Davidson & Co.: Ok, can you get a sense of the bottom line impact of the SoftImage over the past year or in the quarter?
Gary Greenfield: Minimal plus nothing.
Allen Davis - D.A. Davidson & Co.: Ok, and the lastly what can we maybe to the broad sense of the operating cost savings from these fourth quarter actions?
Gary Greenfield: Well the full benefit of that of course will not occur until big ball ahs been completed but the savings at an annual basis or whatever going out into next year, it is going to be an excess of $50 million per year.
Allen Davis - D.A. Davidson & Co.: And that is just for tapping in the next, for the fourth quarter or is that over the entire years’ cut?
Gary Greenfield: Well the majority of the activity will happen in the fourth quarter, when I say happen; some of the positions, the last day maybe December 31 or something like that or maybe in December but the majority of those cost savings will be achieved by them but there are some which are scheduled to go on in the next year.
Allen Davis - D.A. Davidson & Co.: Ok, and after that I will just like to make an addition to the cuts you made over the past six to nine months.
Gary Greenfield: Correct.
Allen Davis - D.A. Davidson & Co.: Ok, thanks gentlemen. (Operator’s Instruction)
Gary Greenfield: No more questions so I am going to wrap up and I want to thank all of you for joining us today. Should you have any other further questions all of us will be available for follow up after today’s call and we certainly look forward to speaking with you next quarter. In particular though, I do hope to see many of you on Monday, October 27. We really have a great program lined up and hope you will have a chance to spend some time with us, spend a few hours with us on Monday, thank you.